Operator: Good day ladies and gentlemen, and welcome to the Second Quarter 2009 Tutor Perini Corporation Earnings Conference Call. My name is Christine, and I will be your operator for today. (Operator Instructions). I would now turn the call over to your host for today, Mr. Ken Burk, Executive Vice President and Chief Financial Officer. Please proceed.
Ken Burk: Good afternoon, everyone. Thank you for joining us on Tutor Perini's Second Quarter 2010 Conference Call. With us today is our Chairman and CEO Ronald Tutor and our President, Robert Band. Before we start, I'd like to remind our listeners that our comments today will contain forward-looking statements, including statements about future guidance. Management may also make additional forward-looking statements in response to your questions. These types of written and oral disclosures are made pursuant to the Safe Harbor provision contained in the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from anticipated results. The company cautions that any such forward-looking statements are based upon assumptions that the company believes are reasonable, but that are subject to a wide range of risk and actual results may differ materially. These risks and uncertainties are discussed in detail in our filings with the SEC, including Tutor Perini's Annual Report on Form 10-K for the fiscal year ended 12/31/09 and our definitive proxy statement filed on April 28, 2010, as well as in today's news release. Our statements on this call are made as of today, August 5th, 2010 and the company undertakes no obligation to update any of these forward-looking statements contained in the call, whether as a result of new information, future events, changes in expectations or otherwise. With those formalities out of the way, it's my pleasure to turn the call over to Ronald Tutor.
Ronald Tutor: Thanks Ken and good afternoon everyone. As anticipated, during the second quarter of 2010 we converted a number of pending awards in the backlog across all of our business segments. New contract awards and adjustments to contracts in process during the second quarter added approximately 1.4 billion to backlog. Major awards during the quarter include a $480 million courthouse in San Diego, a $300 million hospital in Northern California, a $149 million rehabilitation of the Tappan Zee Bridge in New York, a joint venture contract on a tunnel at New Irvington and Northern California, our share of which is 91 million and an $81 million contract for run way paving and electrical work on Joint Base Andrews in Maryland. Currently we have approximately 1.1 billion impending awards, awards that consist of 791 million in hospitality, 184 million in education, 92 million in transportation and 57 million in the industrial sector. These awards are expected in backlog over the next few quarters. We continue to be particularly pleased with our Civil segment which is on track to achieve the margins we expected this year. As we look ahead to the remainder of 2010, we will continue to execute our strategy of increased focus on higher margin public works project in our Civil and Building segments. With the first half of the year behind us we still look for our Civil group to provide at least 40% of our operating income this year. We estimate the size of perspective opportunities in our Civil Infrastructure target market to be 7.3 billion for the remainder of 2010. This breakdown includes 2.1 billion in highways, 1.8 billion in mass transit, 1.3 billion in bridges and 2.1 billion of other types of civil work including power, rail and water. In the non-residential markets there continues to be a sign of economic recovery. Our customers are seeing improvement in the financial markets. For the building group we had identified and are tracking approximately 5.6 billion in targeted projects that we expect to bid over the next two quarters. A significant portion of this market is in the public sector including corrections, education, municipal office and transportation, buildings. Our dispute MGM's CityCenter is in the discovery phase with the trial date set for September 2011. In the meantime as they have been quick to point out MGM is in the process of negotiating payments with certain sub-contractors for final cost. During the quarter, we continued to make good progress on existing work including Terminal 3 at the McCarran Airport which is approximately 70% complete and on track for completion ahead of schedule. As well as JFK International Airports, Bay Runway Project were in we delivered the main runway at a critical milestone date and achieved the bonuses there too. Now I would like Bob Band to share more details of our Management Services Group.
Bob Band: Thanks Ron. In the Management Services Group we are continuing to see some of the larger proposal opportunities in Guam surface which should contribute to new work awards in a more meaningful way in the second half of 2010. During the second quarter, we have submitted a number of proposals to the U.S. Navy under the $4 billion maximum capacity IDIQ design/build multiple award construction contract we have received on the island. Work under this contract will include loss repairs and construction aircraft parking aprons, taxiways, runways and hangers as well as general and special purpose buildings. The final record of decision based up on the environmental impact statement for the Guam relocation and build up is scheduled to be completed in September 2010. This should give way to contract awards in the near future and continue to ramp up as the full construction program gets off the ground. The [Mamisu] program is the Japanese government funded construction program in Guam and is expected to exceed $2 billion. We believe that we should fair share of this work. Prospects for new work in Iraq and Afghanistan continue in the company's focus on certain projects that we are tracking wit the Department of State and the U.S. of Defense. Though there are additional overhead cover and housing programs specifically that we are interested in which we expect to bid in 2010. We are also tracking private work through sureties and multinational clients mostly in the defense sector on a world wide basis and following the Haiti relief related projects with the US Air Force, USAID, the UN and the non-governmental organizations which are expected to bid and awarded later in 2010. For Management Services Group we have identified and are now tracking approximately $4 billion in targeted projects that can bid or proposed on this year and early in 2011. These include new IDIQ projects for worldwide services for U.S. government agencies, additional task order work under existing IDIQ contracts and other projects on a worldwide basis. Now Ken will give you the financial details for the quarter.
Ken Burk: Thank you Bob. Our net income was 32.7 million for the second quarter of 2010, as compared to net income of 38.9 million for the second quarter of '09. Diluted earnings per share were $0.66 for the quarter, as compared to $0.77 for the second quarter of '09. We ended the second quarter with a backlog of 4.3 billion which is up 14% from the first quarter of this year. The breakdown by business group of our backlog at June 30th 2010 is as follows; Building, 3.1 billion; Civil, 1 billion; Management Services, 195 million. The breakdown of the total Building group backlog by major end market type; Municipal Buildings, 937 million; Healthcare; 903 million; Transportation Facilities, 449 million; Hospitality and Gaming, 390 million; Education, 132 million; Industrial, 76 million and other Building markets 167 million. The Civil group backlog breakdown is as follows; Mass Transit, 385 million; Bridges, 342 million; Highways, 278 million and other civil work, 38 million. Management services backlog is predominantly all government contract work. In the second quarter of 2010, revenues were 914.4 million, a 34% decrease from 1.38 billion reported a year ago. On a reportable segment basis, revenues from our building group were 663.2 million, down 46% from 1.2 billion in the second quarter of '09. The decrease is primarily related to the completion of CityCenter and the impact associated with lower levels of new work required in the non residential building market during the later part of '09 and earlier this year. Revenues from our Civil group were 197.4 million which increased 103% from 97.2 million reported in the second quarter of '09. The increase is primarily due to the new work we acquired during 2009. Management services revenues were 53.8 million, which decreased 23% from 69.5 million reported in the second quarter a year ago. The decrease is due to the completion of a significant portion of or work in Iraq and in Guam. Our total gross profit decreased by 8.6% to 98.9 million from 108.2 million in the second quarter of '09. Most of the decrease is due to the reduced revenue volume in the Building group, offset by greater mix of higher margin public works projects during the quarter. Our G&A expenses were 43.1 million, a decrease of 3.1% from 44.5 million in the second quarter of '09. Our current overhead structure will support future growth in our business without significant incremental costs. We had income from construction operations of 55.9 million in the second quarter of '10, a 12% decrease compared to 63.8 million in the second quarter of '09. Breaking down income from construction operations by business group, building is 29.7 million a decrease of 22% from 38.2 million in the second quarter of '09. This decrease was primarily due to the reduced revenue I explained earlier. However, the building group generated an increase in operating margins from 3.1% in the second quarter of '09 to 4.5% in the second quarter of 2010. This is again is primarily due to the higher mix of public works projects that we put in place over the last few quarters. Civil Group income from construction operations was 29.7 million in the second quarter of 2010, a 37% increase from 21.7 million in the second quarter of '09 primarily due to the increase in revenues that I previously mentioned. This obviously is driven through our performance in all of our projects in both California and New York. Management Services income from construction operations was 6.9 million in the quarter a decrease of 51% from 14.2 million in the second quarter of ‘09. This decrease us due to the completion again of the work in Iraq and Guam which produced higher margins a year ago. Looking at our balance sheet at June 30, 2010 our working capital stood at 344.7 million up from 303 million from the beginning of the year. As of June 30, 2010 our current ratio was 1.26:1 as compared 1.23:1 as of December 31, '09. As of June 30, we had 303.2 million in cash and cash equivalents compared to 348 million at the beginning of the year and compared to 257 million from the quarter end in the first quarter. The decrease in our cash balance during 2010 is primarily due to the increased receivables from CityCenter as well as we posted restricted cash to secure insurance related obligations in lieu of more expensive letters of credit. In addition, we used 11.2 million of cash to repurchase 617,000 shares of our common stock and in accordance with our previously announced common stock repurchase program authorized by our Board of Directors. Subsequent to June 30 and through yesterday we've repurchased an additional 1.5 million shares for an aggregate purchase price of 28.2 million. This leaves a balance of approximately 29 million under our original repurchase program which was originally set at a 100 million. Cash flow from operating activities for the second quarter and the first six months were 73 million and 12.7 million respectfully. The ramp up of new work in our Civil Group during the quarter contributed significantly to an improvement in our cash flow during the quarter. At June 30, long-term debt stood at 82.9 million excluding the current portion and we had 311 million available to borrow under our credit facility. On July 16, 2010 we extended the maturity day of the $106.1 million of our supplemental facility portion of our current credit facility from December 31, 2010 until February 22, 2012 which is the date of our maturity of our current base revolver. Shareholders equity remained consistent at 1.3 billion at June 30 and December 31 as the addition to the stockholders equity from our net income was partially offset by the reduction in equity resulting from the repurchase of shares that I mentioned earlier. We believe our current financial position and credit arrangements provide us with the adequate resources to meet working capital requirements for executing existing as well as new projects. Our guidance is estimated to be within the ranges we previously provided, revenues to be in the range of 3.4 to 3.9 billion and diluted earnings per share estimated to be in the range of $2 to $2.20 per share. The ranges reflect our current view of new work prospects that could enter our backlog and be converted into profits this year. I'll now turn the call back over to Ron for his closing comments.
Ronald Tutor: Thanks Ken. We believe there are notable signs of improvement in our economy that is helping our industry. The non residential building markets are showing signs of recovery, albeit slower than we would like. However our civil group has a significant number of major bidding opportunities that fit our target profile for size and complexities. Our Civil operations are delivering all the margins we expected and finally the program in Guam has commenced with our turning in proposals over the last 90 days that exceed $500 million in value. We are waiting for those results as they are closed opening. So as yet we have not been informed. We believe once again that we'll capture our share of the work and participate in huge ramp up on the island. That concludes our prepared remarks so that myself, Ken Burk and Bob Band will now take your questions.
Operator: (Operator Instructions). Your first question comes from the line of John Rogers representing D.A. Davidson. Please proceed.
John Rogers - D A Davidson: Hi, good afternoon.
Ronald Tutor: Hey John.
John Rogers - D A Davidson: Ken, I apologize. I couldn't keep up with you. Cash at the end of the second quarter, did you say 303 million?
Ken Burk: Yes, 303.
John Rogers - D A Davidson: Okay. And how many shares do you have left under your repurchase authorization?
Ken Burk: Well, as you know, we don't know exactly where that will be.
John Rogers - D A Davidson: Oh, I'm sorry. Or cash?
Ken Burk: Yeah we're, we have about 28 million left. 29 million. Right at 29 million. It's a repurchase to fulfill the 100 million that we had authorized.
John Rogers - D A Davidson: Okay, okay. Thank you. And then as it relates to work prospects, its surprising maybe just to me but $790 million of potential hospitality work, I thought that market was pretty quite.
Ken Burk: Well we've seen, we're waiting. There has been publicity about the casino, racetrack, the Aqueduct Race Track in New York with the Genting partnership. That's included in there. We've got another decent sized gaming project in the upper north west we're waiting to hear on and then we have a few other prospects that we still feel pretty good about.
John Rogers - D A Davidson: Okay, and I guess just finally, Ron you mentioned the signs of improvement. Has the bidding environment changed in terms of competition for the work is it still the same players?
Ronald Tutor: It's the same players. As long as the work is of a very large size and complexity, there is no more added layers and it's the same two or three competitors. It's only when you get down to the 50 million and less that it's gets horrific. The very large work still has very limited competition.
John Rogers - D A Davidson: Okay great. Thank you very much.
Operator: Your next question comes from the line of Steven Fisher representing UBS. Please proceed.
Steven Fisher - UBS: Hi good afternoon.
Ronald Tutor: Hi, Steve.
Steven Fisher - UBS: On the hospitality, your pending awards separate from the, or setting aside Aqueduct for a second, what are the hurdles left to get those other ones into the backlog?
Ronald Tutor: Well the larger one that I mentioned here on the West Coast, we really don't see really any of impediments at this stage. I think we have mentioned that we expect to go in the backlog in the third or fourth quarter. So, we are really not aware of any particularly issues closing of financing.
Steven Fisher - UBS: Okay and then revenues and backlog have both turned positive this quarter. Is there any reason to think that this isn't a sustainable inflection point?
Ronald Tutor: No I think we will continue to grow the backlog we have some very sustainable proposals that have been in, that are beginning in Germany and we're in hopes that we will see some significant awards in the four to eight weeks.
Steven Fisher - UBS: And then in terms of the revenue side of things, I guess you probably still have some of the bigger projects still burning off there which would be a bit of a head wind but can the stuff you're booking now can I ramp up quickly enough to sustain the inflection point on revenues as well?
Ronald Tutor: It will sustain the point on profit, revenue might be a little more difficult it just depends how quickly they have award and break ground.
Steven Fisher - UBS: Okay and then on the repurchases, was there any thing about alternative cash needs or usages that changed, that motivated you to start buying back stock recently and in terms of where you looking at acquisitions before and now you are not so you are buying back stock or was that the business turning. Any comments you can make there?
Ronald Tutor: The fact of the matter is that stock is so preposterously low in the Boards in my eyes that we see it as opportunity to reduce the shares out in the market place. As well as we feel that things are beginning to look better and what better investment than our own shares. Secondarily, we would still continue to look for acquisitions. It appears that we have signed a letter of intent on what we would call a smaller strategic acquisition, we continue to look for significant transactions and with our cash and credit facility available we don't see any problem with funding any acquisition that we like.
Steven Fisher - UBS: Okay great. Thanks a lot.
Operator: Your next question comes from the line of Richard Paget representing Morgan Joseph. Please proceed.
Richard Paget - Morgan Joseph: Good afternoon guys.
Ken Burk: Hi, Richard.
Richard Paget - Morgan Joseph: I mean I know we have already kind of touched on this but with such a surge in new awards I mean was it just a couple of things happened and it hit at the same time. Do you think it was pent up demand or as you somewhat alluded to that this is as a beginning of recovery and things are starting to move forward a lot.
Ronald Tutor: We think things are starting to moving forward, we as I think I mentioned we have literally in another 1 billion plus of proposals where I think we have an excellent chance of being awarded a significant number of them. We are literally writing proposals and bids on a week to week basis all over the country, predominantly in the Civil sector and secondarily in the Building business but its remarkable the government and the institutions still continue to bid buildings and there still continues to be significant major Civil work all over the country available.
Richard Paget - Morgan Joseph: Now do you think this is the kind of tail end of stimulus money or this is totally funded differently and it should be sustainable?
Ken Burk: A majority of it isn't stimulus money at all. It's like looking at a proposal on the Goethals bridge in New York which is over $1 billion. It's looking at another one on the Vincent St. Thomas Bridge in Los Angeles, over $1 billion. It's the roads and approaches for Caltrans. At the Golden Gate bridge is $500 million. That's our 91 a big highway project. In Los Angeles it's over $1 billion. There is just as you can hear a significant number of major projects that have our interest all over the country, none of which are touched by stimulus funds.
Ronald Tutor: Now that being said, I guess, what do you feel is your capacity internally to handle? Where you kind of top out at backlog?
Ken Burk: We have no limit. I'm just kidding, I'm just kidding. Let's just say that there is nothing we've seen yet that gives us a cause for concern with our limits. I suppose at some point my favorite conversation would be to tell you we're beginning to tap out but that's so far out there, yet we're not there yet. We're also seeing talent as well.
Richard Paget - Morgan Joseph: All right. And then Ken, on interest expense, it jumped up. Was that just because of lower cash balance or anything kind of one time in nature happened with…?
Ronald Tutor: Actually we did have about 1.7 million. We trued up the mineral; we had a royalty associated with our aggregates business. It's a non cash element of interest expense but the run rate would be much less than that. So other than that, everything was fairly normalized from the pervious year.
Richard Paget - Morgan Joseph: Okay. All right, thanks. I'll get back in queue.
Operator: (Operator Instructions). Your next question comes from the line of Avi Fisher representing BMO. Please proceed.
Avi Fisher - BMO: Hey guys, nice quarter. Thanks for taking my questions. A little housekeeping first. Ken in the Civil backlog I heard, the first was 385. What category did that fall into?
Ken Burk: 385? What are you seeing?
Avi Fisher - BMO: You broke out the Civil backlog and I got something and bridges, highway and other.
Ronald Tutor: It was this breakdown of the 900 million.
Ken Burk: The breakdown of the backlog?
Avi Fisher - BMO: Yeah.
Ken Burk: Okay, hang on one second.
Avi Fisher - BMO: Thanks, I appreciate it.
Ken Burk: Yeah, the backlog breakdown; mass transit, 385; bridges 342; highways, 278 and other 38.
Avi Fisher - BMO:
 :
Ken Burk: Yes, that would be primarily the McCarran Airport.
Avi Fisher - BMO: Okay, and did you recognize any awards from the JFK runway project in EBIT in the quarter?
Ken Burk: Awards? We were awarded last year.
Avi Fisher - BMO: No. I mean, I'm sorry, the completion of phase one on time and on schedule.
Ken Burk: We recognized some incremental benefit from the milestone that Ron mentioned.
Ronald Tutor: We got a bonus.
Avi Fisher - BMO: Right and as I understand it if you did within a 120 days you get a 5 million bonus.
Ronald Tutor: The bonus and I am assuming that we recognize it. 
Ken Burk: Yeah we recognize the appropriate percentage of completion of that.
Avi Fisher - BMO: Got you, okay. And you had great margins in the civil segment this quarter. How much and you also had a great weather this quarter. I mean is to be expected that the 10 to 12 target plus the 300 bps upside because just solid execution, good weather I mean. Is that?
Ronald Tutor:
 :
Avi Fisher - BMO: And was it a (inaudible) factor to the strong burn rate in the civil segment this quarter?
Ronald Tutor: I think so I think, what we have demonstrated so how quickly we can execute the work and deliver it and if you recall the JFK runway job which is now an extremely successful job. We were 15 - 18% low and having doubters talk about how could we be so cheap same thing with the [Granage] quarter which is an extremely profitable job then again we were extremely low and be until how can we be so consistently cheap. So, we think we are doing everything the way we expect to and doing it well and the results are in the earning.
Avi Fisher - BMO: I was one of those doubters who has that…
Ronald Tutor: We are aware of that.
Avi Fisher - BMO: But you also had fantastic weather this quarter in New York City.
Ronald Tutor: Weather doesn't build jobs, people build jobs Avi.
Avi Fisher - BMO: Got you it helps to make it easier.
Ronald Tutor: I agree.
Avi Fisher - BMO: In terms of some of the projects that you mentioned in the Goethals bridge the SR 91. A lot of those are what is know as alternative delivery projects, a design/build. Do you need to partner with an engineer to do that, I am trying to flash out your experience.
Ronald Tutor: Specifically they are design/builds in finance. So, we typically we don't necessarily partner with the design engineer, we get a design engineer because it's a part of the team often as a committed consult to our joint venture and then when it's a finance we typically partner with one of the Spanish companies who are the most powerful in provide financing.
Avi Fisher - BMO: So they will take the equity stake in the project and you will try to avoid that or you will take?
Ronald Tutor: We are not taking the equity stake; we are strictly a contractor on the construction side. We hope that these joint ventures will be setup with partners that will take the equity stake and provide that funding.
Avi Fisher - BMO: Any sense on the timing on some of these project proposals that you mentioned in your prepared statements?
Ken Burk: I would say fourth quarter this year, first quarter next year. The ones I mentioned there are other ones the Seattle transit which exceeds a $1 billion that will be going in at the sometime early in the fourth quarter.
Avi Fisher - BMO: And then last quarter I asked you what was going on in Vegas and that seemed to slowdown but it seems like there is likely to be a pickup in casino work out there.
Ronald Tutor: Well I don't see if there is.
Ken Burk: Not in Vegas.
Ronald Tutor: Unless it's a certain hotel companies beating subs out of money I don't know what's going on.
Avi Fisher - BMO: I think that taps out my questions for now. I appreciate the color.
Ronald Tutor: Thanks Avi.
Operator: Your next question comes from the line of Kalpesh Patel representing Jeffries & Co. Please proceed.
Kalpesh Patel - Jeffries & Co.: Hello.
Ronald Tutor: Hey Kal.
Kalpesh Patel - Jeffries & Co.: How are you?
Ronald Tutor: Good.
Kalpesh Patel - Jeffries & Co.: Great quarter gentlemen.
Ronald Tutor: Thank you.
Kalpesh Patel - Jeffries & Co.: A question on Guam. Do you have expectations in terms of dollar amounts for how much to bid this year and next year?
Ronald Tutor: We've turned in already as we speak over 500 million in bids awaiting the outcome and probably we expect another two to 400 million for the year end.
Kalpesh Patel - Jeffries & Co.: So about seven to nine in 2010. How about 2011?
Ronald Tutor: We assume it will straight line something like that through 2013 and then at the end of this year we provide a qualification statement for a $2 billion math within the Japanese [Mamisu] program.
Kalpesh Patel - Jeffries & Co.: Say that again. You qualify for a math?
Ronald Tutor: As we qualified for the Navy pact, the multiple awards contract which we're now bidding work on, the Japanese funded program called [Mamisu] has just issued a request for qualifications as did the U.S. Navy where we pre-qualified a bid to work that they are going to fund which that initial Japanese math under the direction of the U.S. Navy is another 2 billion, which assuming that's yet accomplished this year, that will start bidding sometime the first or second quarter next year.
Kalpesh Patel - Jeffries & Co.: Okay. Got you
Ronald Tutor: But Guam is defiantly gearing up. We would expect -- of these job we've bid, we would expect them to start announcing awards by the end of August, first part of September.
Kalpesh Patel - Jeffries & Co.: Excellent. So what does the signature on the final environmental impact statement have to do with anything at this point? It seems like the program is moving forward at…
Ken Burk: The technicality.
Kalpesh Patel - Jeffries & Co.: It's just a technicality?
Ken Burk: Of course.
Kalpesh Patel - Jeffries & Co.: Okay. And in terms of the pending awards that you mentioned, what is I guess, what's remaining to get those projects moving? Is it all financing issues or?
Ken Burk: It's the slowness of how the U.S. government -- they just, typically every time we turn in a job in Guam, it takes them 90 days to study it, come back to us with questions, get it through all the government circles and then finally make an award. It's just the way it is.
Kalpesh Patel - Jeffries & Co.: I guess I was referring to the 1.1 billion impending awards across the different…
Ken Burk: Yeah, the buildings, most of all of those are building projects; it's in the New York one which is really more in the political approval stage.
Bob Band: I thought you mean the Guam work.
Ken Burk: Yeah.
Kalpesh Patel - Jeffries & Co.: Yeah, I meant the building work.
Ken Burk: Yeah, the building side there is, as Ron mentioned financing, just completing the financing of the projects. I would say that we see the financing as lower risk, certainly than what we saw 9 - 12 months ago. So I think that's starting to be a better situation for the project financing side. And just working closely with the customers, getting them prepared to award and sign up the contract.
Kalpesh Patel - Jeffries & Co.: Okay, so it's primarily financing?
Ken Burk: Yeah.
Ronald Tutor: Yeah.
Kalpesh Patel - Jeffries & Co.: Okay. And one last question. Of this opportunity in all these projects that you're bidding, has the number of bids that you've been sending out there increased a lot or is this pretty much the pace that you have always done.
Ronald Tutor: Substantially up.
Kalpesh Patel - Jeffries & Co.: It's substantially up. Is that just because the tough market environment, you have more bidders out there.
Ronald Tutor: The market environment has nothing to do with that, I think there is just an extraordinary pent-up number of job that are being released by governments across the country from New York to California and all the jobs I referenced and not only talked about the huge projects there is just a number of those and frankly I can't remember having that many major project opportunities in front of us at any one time couple that with bidding a job every two weeks in Guam and we have just been undated with government proposals and we love it and we continue to support.
Kalpesh Patel - Jeffries & Co.: I mean with the tough recession what is causing that, you think…
Ronald Tutor: I am older than you and I can tell from experience, this time there is a depression or a recession and from the rest of you older guys you will remember that the government always spends like crazy on infrastructure to re-prime it. So, everybody else suffers the infrastructure industry always prosperous from that influx because it's the only thing in the government can safely invest in that no one can criticize, roads, bridges schools etc., it's always been like this it's not different now.
Kalpesh Patel - Jeffries & Co.: Even when their tax revenues are down?
Ronald Tutor: That never confuses them.
Kalpesh Patel - Jeffries & Co.: Right. Congratulations gentlemen. Thank you.
Ken Burk: Thank you.
Operator: Your next question comes from the line of Michael Chapman representing Private Capital Management. You may proceed.
Michael Chapman - Private Capital Management: Thanks good quarter guys and the shareholder very happy to see the share buyback. Question for Ron as in some others have been answered. Just you have been in the press lately with the film venture. I am wondering given the amount of time that you are going to be spending on all the civil work that is coming up, how much of your time is going be get devoted to that? Thanks.
Ronald Tutor: Very little on the lead pass it investor, we are hiring one of my partners as an entertainment industry group and over the next three to six months we will be putting people in place where I will just be a Board member and a passive investor.
Michael Chapman - Private Capital Management: Okay great, thanks. Keep the good work guys.
Operator: At this time there are no additional questions. I would turn the call back over to Mr. Ken Burk. Please proceed.
Ken Burk: That's all we have. Thank you for joining our call in the second quarter and we will look forward to following up with our third quarter call. Thank you.